Operator: Thank you all for standing by, and welcome to Telkom's Full Year of 2021 Results. [Operator Instructions] I'd now like to hand the conference over to your first speaker, Mr. Andi Setiawan. Thank you. Please go ahead.
Andi Setiawan: Thank you, Sara. Ladies and gentlemen, welcome to PT Telkom Indonesia Conference Call for the Full Year of 2021 Results. There will be an overview from our CEO and followed with Q&A after the session. Before we start, let me remind you that today's call and the responses to questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projection or estimations and may involve risks and uncertainties that may cause actual results to be different from what we discuss today. Ladies and gentlemen, it's my pleasure now to introduce Telkom's Board of Directors who are joining with us today: Mr. Ririek Adriansyah as President Director and CEO; Heri Supriadi as Finance Director; Mr. Herlan Wijanarko as Network and IT Solutions Director; Mr. Bogi Witjaksono as Wholesale and International Service Director; Mr. Edi Witjara as Enterprise and Business Service Director; Ms. FM Venusiana as Consumer Service Director; Mr. Budi Setyawan Wijaya as Portfolio Director; Mr. Muhamad Fajrin Rasyid as Digital Business Director; and Mr. Afriwandi as Human Capital Management Director. Also present are the Board of Directors of Telkomsel: Mr. Adiwinahyu Basuki Sigit as Sales Director; Mr. Mohamad Ramzy as Finance and Risk Management Director; and Mr. Derek Hang as Marketing Director. I now hand over the call to our CEO, Mr. Ririek Adriansyah, for his overview. Please, Ririek.
Ririek Adriansyah: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for the full year of 2021 results. We appreciate your participation in this call, and we hope you are all in good health. First of all, we would like to express our appreciation to the government of Indonesia that has been successfully handling COVID-19 so that social and economic activities during the year are conductive and in full year of 2021 recorded positive GDP growth of 3.7% year-on-year. For the past 2 years, COVID has created new norms that make society turn into digital applications to cater to their social and economic activity while curbing the spread of the virus. The pandemic has changed consumer behavior and creates the adoption of massive digital initiative. Ladies and gentlemen, now let's move on to talk about the results. In full year of 2021, Telkom secured positive growth in revenue, increased by 4.9% year-on-year. We also successfully controlled expenses so that EBITDA grew by 5.1%. Supported by solid operational results and added with a higher valuation in diesel investment, our net income increased by 19.0%. IndiHome has been the main contributor to growth performance, grew by 18.5% in 2021 along with a significant improvement in EBITDA margin. IndiHome served 8.6 million customers as of December 2021 with the ARPU of around IDR 270,000. In Mobile segment, competition and data pricing remain the main issues that Telkomsel had to address. However, Telkomsel successfully affected the data user to consume more so that data traffic grew by 43.3%. As a result, Digital Business revenue increased 9.5%, and its contribution to Telkomsel revenue increased from 72% to 78%. Following the industry consolidation that happened in the beginning of 2022, we are optimistic that the competitive environment will improve to a healthier industry. Furthermore, Enterprise and Wholesale segments successfully captured the growth opportunity following the better situation of COVID-19. The growth driver amongst others are Enterprise, IT Services and Connectivity, Data Center and Tower Business. Our subsidiary that recently went public, Mitratel, showed strong results in 2021. Its revenue grew by 11%, with EBITDA margin improved to 75.5% from 67.6% in the previous year. With more than 28,000 towers located across Indonesia, Mitratel confirms its position to be one of the prominent tower provider in Indonesia. In an effort to strengthen our competitive advantage and leadership in the industry, we are pursuing what we call as a 5-fold move strategy. After successfully brought our subsidiary Mitratel to go public in November 2021, we are in the progress to materialize another for both with our, one, unlocking data center business; two, accelerating investment in digital company; three, strengthening B2B IT services; and four, conductive fixed mobile convergence. We are enhancing and consolidating our data center assets and already set a subsidiary called Sigma Tata Sadaya to become the entity that run the Data Center Business and will be unlocked in the future. We also continue to strengthen capability in Indigo as an entity that invests in various digital companies for consumers. The capability enhancement will include partnership with digital players and investors to afford cash burning approach. We are also in the process to prepare an entity that will be de facto for B2B IT services which will be enhanced and unlocked in the future. And lastly, we recently signed an MOU with our partner in Telkomsel, Singtel, to explore the best business model to convert fixed and mobile business as well as an MOU to explore partnership in the development of regional scale data center. We expect that all of the strategy can be materialized within 2 years and will create maximum value for all such orders. That is ending my remarks, and thank you for your kind attention. Back to you, Andi.
Andi Setiawan: Thank you, Pak Ririek.  We will now begin the Q&A session. [Operator Instructions] Operator, may we have the first question, please?
Operator: [Operator Instructions] Our first question comes from Piyush Choudhary at HSBC.
Piyush Choudhary: This is Piyush from HSBC. Congratulations to the management team on a great set of results. A couple of questions on your 4-point strategy which you have articulated. Firstly, could you elaborate what kind of incremental investments you are embarking on in digital side? How much of capital are you willing to allocate to such investments? Would it be on the lines of your investments in GoTo -- or yes, some more color on those lines will be helpful. Secondly, on your strategy of fixed mobile convergence, can you share a time line to launch such product and what needs to be done? Like what preparation needs to be done to launch such product internally? And what would be the economics because Telkom has different stake in IndiHome versus Telkomsel, so how will the economics work?
Heri Supriadi: Thank you, Piyush, for your question on this one. On the investment on the digital, our situation like this, we have the CapEx to revenue ratio around 25%. That we believe also and so far that we invest in also including the digital, we see this, I think, we're still going to be about the same for medium term. And we do the investment in digital and not only probably that we are going to do it by ourselves, but we are also going to have our partner who are going to provide also some ecosystem and funding for investment in this one. So in this moment, we can convey to you the situation that we plan is to have the same ratio of investment, including that we continue to grow our investment in the digital through many ways. And we do this investment in the digital may be quite different compared to others because we already have, I think, ecosystem, for example, our [indiscernible]. So we try to avoid cash burning business model, in which making us more efficient in doing this one, especially we are thinking about strategic to our cost rate right now. And second, on the FMC strategy, what is the time line, what we need to be done to launch the product, we call our cooperation with Singtel basically to, one, we do collaborating in the go-to-market, try to address the market to meet broadband solution a bit lighter compared to, I think, consumption on the -- I think a regular IndiHome. But they are a bit spread, so we used, I think, the capacity that we have in Telkomsel. Basically, we go to the market on this one, we create the product and then how the business model can work in operation. The thing that we just find the MOU on the potential collaboration is marketing more comprehensive arrangement, in which we also need to collaborate network, and all the resources including, I think, go-to-market, including our HR assets and so on. It is -- I think that we now are working on that one to make the model going to work. What about the time line? I think the better -- because we already have a very good cooperation with Singtel, we serve the same vision in this business as well. So in many cases, I think in terms of the understanding which we want to maximize the value for parties, in particular to Telkomsel, to make Telkomsel becoming more, I think, strong in the future, so most of the work and understanding has already been done. So we try to find the business model. The time line, we tried to do this as soon as possible that we can explain to you. This is a lot of work including when we talk about what we -- how to manage the asset, how to manage the workforce. And then this is a kind of material transaction we need to do a lot of homework as well on how to basically separate the assets, how we do in kind of valuation of assets and so on. But we're quite optimistic with the experience and understanding that we have with Singtel, we can work as soon as possible.
Piyush Choudhary: So on this fixed mobile convergence, like are your systems already geared up to do one billing from a customer perspective? And would there be one kind of marketing team? Like would Telkomsel be the front to do the mobile fixed convergence?
Heri Supriadi: Yes. I think the intention is to make Telkomsel to focus on the B2C side early on that one. So it is important for us in terms of also investment because we have investment in IndiHome. We have also investment in Telkomsel from the Telkom side. That is very important. So in terms of billing and so on, this is a lot of homework we need to do including in term of regulation and so on. But I think any best practice that are really was in other markets on this one that we can take and also, I think, managed to adjust in the [indiscernible], we try to do to make our customers becoming more confident to use this one not only in terms of, I think, experience in the network side but also in the experience how to get the service and then also served by us in terms of how we interact with them. I hope that answered your question.
Piyush Choudhary: Sure, Pak Heri. Yes, I'll come back in queue. I have more questions, but I'll come back in queue.
Operator: Our next question comes from Ranjan Sharma at JPMorgan.
Ranjan Sharma: A couple of questions from my side. Firstly, on the Data Center business, what is your current infrastructure? And what are the revenues that you're expecting from this business in the next 3 to 5 years? And then if you can just highlight also like the investments that you're making. Second is on wireless competition, if you can just remind us what you're seeing on the ground now. Have you seen any further increases in tariffs or reduction in data allowances?
Heri Supriadi: Bogi, you want to answer?
Unknown Executive: [indiscernible] I would have to [indiscernible] data center that [indiscernible] restructure that we already [indiscernible] part of the success that we have, we also already have 20S.
Ranjan Sharma: Sorry, sorry to interrupt, but we can barely hear you. I am not sure if it's on my side, but the voice is coming very soft.
Unknown Executive: Okay. Can you hear?
Ranjan Sharma: It's better.
Unknown Executive: For the product infrastructure [indiscernible] of the data center that we have already built in [indiscernible], we also had another infrastructure that we're [indiscernible] for supporting this data center. This infrastructure, the first one is -- we call it the test data center. We get located on the 20 cities in Indonesia. And right now, the edge data center, which is we call it [indiscernible]. And then we plan to build another edge data center to support the Hyperscale Data Center that we build. In another case, we also repaired the connectivity to connect all the edge data center with the main data center that already being built in [indiscernible] and also prepare the concept of the single data center in order to support and to get better connectivity for this data center ecosystem. That's the phase that we have already prepared for the data center business. And then for the revenue that we expect in the 3 until 5 years after we traded at the data center after consolidation, the revenue in 2025 is around for the -- in rupiah, around IDR 14 trillion. We think we can get the revenue at our data center -- our consolidated data center that we have already set up. For the net mobile competition, let me take this question on the mobile competition. So from a market scenario remains intense market competition. With the operation is still very aggressive on acquisitions and renewal packages to grab low-end market share in the base. As the market leader for themselves aims to drive a sustainable and healthy behavior in our industry, so we have both the ways of unlimited package towards healthier pricing with hyper-personalized CDN initiatives. We also wanted to create distinctive products and services to be relevant to our customers and to defend our market share leadership, prioritizing customer experience and boosting their productivity. Well, in terms of competition to [indiscernible] in Java, Telkomsel managed to maintain a sustainable share as well as key performance and satisfaction index. We are focused on more affordable packages in view of the current economic environment with different denominations, especially [low denom] offering physical voucher ad packages such as TikTok Everyday, Youtube Everyday to select the activities to maintain our competitiveness. I hope that answers your question on the market competition.
Ranjan Sharma: Yes. But I think the line is still a bit soft for me, so. I'll take it off-line.
Operator: Our next question comes from Arthur Pineda from Citigroup.
Arthur Pineda: Firstly, can I ask about the fixed mobile convergence? Are you actually looking to fold in IndiHome into Telkomsel? Or are you just looking to simply enhance the cooperation and product bundling between the 2 entities? I'm just wondering if Telkomsel actually plans to buy IndiHome or merely cooperate. And if I can just also clarify on the cost items, there seems to be a significant jump in a number of cost items Q-on-Q. Well, the D&A, O&M and personnel costs have all grown double-digit levels. Are there any one-off bookings being recognized in this quarter?
Heri Supriadi: On the FMC, actually, as mentioned before, actually, we are going to restructure the company in which Telkomsel is going to focus on B2C. It's been -- it is for all the thing from the network until go to market supposed to be, yes, access, I think, managed by Telkomsel on that one. So that's what we plan. I think [indiscernible] already asking about this, what is the time line. Of course, we're going to do as soon as possible all the things that are under our control, but we need to work out also with, I think, regulatory groups. So that's why I cannot give the answer basically the finite time line, but we work on the high-speed effort to make this happen because we see the synergy in this initiative that's going to give value to us. Customer [indiscernible] to shareholders. Second, on the cost, yes, in the cost is quite high, especially in the cost that's higher in terms of growth compared to revenue is operation and maintenance. Investors include also some costs related to content and also some cost related to CPE, in which we are addressing the Enterprise segment, that basically to basically provide end-to-end solutions our customers. If we're just seeing the operation and maintenance cost, the cost is much below the growth of the revenue. Specific cost revenue related, there's no basically one-off in the operational cost. Yes, there's, I think, depreciation and amortization cost got higher compared to the previous 3 quarters. In the last quarter, we do some accelerated depreciation on our network, especially in the [indiscernible]. This is in line with our strategy to enhance the quality of our network and the capability of our network. And [indiscernible] is still using copper, so we do assertion of the depreciation in this asset according to our strategy and also a strategy of customer experience that we provide to the market. The total cost on this [indiscernible] depreciation around IDR 1.6 trillion.
Arthur Pineda: Understood. And on the labor charges, were there MRP bookings? Or...
Heri Supriadi: Okay. In the labor charges, basically, this is a provision for the bonus and incentive with regards to the performance of the company.
Operator: Our next question comes from [ Musani Sefi ] at UBS.
Unknown Analyst: A couple of questions from me. Firstly, on guidance, so can you provide what kind of growth and CapEx you are looking for 2022? And in that context, I mean what kind of mobile growth you are expecting in 2022 as well will be helpful. Second is on IndiHome. So I see that the revenue growth of IndiHome in the quarter 4 was quite slow. In fact, it declined on a quarter-on-quarter basis. So I just want to understand what led to such a deceleration in growth.
Heri Supriadi: Okay. On the CapEx guidance, I think in the group we see that be around 25% of the [revenue] [indiscernible] on that one. In Telkomsel, amount of CapEx is about the same like we did in the -- around?
Unknown Executive: 13.
Heri Supriadi: 13% or around similar to what we spent last year, basically. And then in the parent company, most of the CapEx will go to the basically connectivity for IndiHome and some pending also comes to backbone and data center. And so I think that's about the CapEx in 2022. And what kind of mobile growth expected?
Edi Witjara: In terms of our expectation during 2020, 2022, our expectation on the mobile growth, it will be in the low to mid-single-digit growth as last year or 30.5%. We expect to be better compared to the last year in terms of -- and to add, on the color of CapEx, our CapEx is about 13% to 14% of the revenue, and it will continue to follow in this year. Mostly will be used to strengthen our network infrastructure as well as to invest in our digital ecosystem itself. Thank you.
Heri Supriadi: On the IndiHome side, sorry, I don't -- you can back to the previous question. Under IndiHome growth lower in Q-on-Q, you mean in the term of their revenue or in the term of the subsidiary base?
Unknown Analyst: In terms of revenues.
Heri Supriadi: Okay. In terms of revenue, I think some lower growth because I think we do kind of some accounting treatment, we apply -- we need to apply for the basically advanced payment for the [indiscernible]  That our customer that are already paid. So we [indiscernible] for the last quarter either same standard that like the growth of lower compared to that [previous quarter]. And you want to back to the previous question?
Unknown Analyst: Understood. Just going back to the previous question on guidance, so the mobile growth you expect around low single digit. But what at the group level, the growth expectations at the group level? And on the IndiHome, what kind of net additional subscriber additions you're targeting for 2022?
Heri Supriadi: Okay. On the group, therefore, I expect as the growth of the -- you mean the guidance for the revenue?
Unknown Analyst: Yes, sir, please.
Heri Supriadi: The guidance that revenue, we do expect the revenue to grow in the mid-single digits this year with basically EBITDA margin and net income margin, we try to make it in the same report that we have today. So that's I think a stable profitability that we expect. And then on the IndiHome, what kind of net addition can we expect this year, last year, we focused on the quality enhancement, focus on retaining the quality subscriber base that we have and also reducing the churn. This year, we do up to -- basically up to the first quarter, we still do the same thing. And we do expect we can basically speed up the process of acquisition subscriber base in the second half of this year. So we do expect the number of subscriber base additional on this year supposed to be bigger than what we did in the last year.
Operator: Our next question comes from Choong Chen Foong at CIMB.
Choong Chen Foong: This is Foong from CIMB. A couple of questions from me. Firstly, I just want to go back to the mobile competition and just some clarifications there. I wanted to understand whether you have seen the market turning more competitive in recent months. Is that what you were implying? And do you believe that the market is still conducive for tariff optimization in the coming months? That's question number one. Second question with regards to Par Heri's comments earlier about EBITDA margin staying stable. My question is with inflation seemingly hitting higher this year, do you see substantial cost pressures in 2022 and downside risk to your expectations for margins to be stable? That's question number two. And thirdly, on the data center business under STS and the unlocking of the values there, I note that in your info memo, you mentioned that you are currently in the process of consolidating the assets under STS and that this process will take place over the next 2 to 3 years. So my question is why does it take so long to consolidate these assets into STS? And does it mean that the STS IPO will only take place after the consolidation is completed? Or are we still on track for 2023? Yes, those are my 3 questions.
Unknown Executive: Yes. Maybe I'd like to address on mobile competition. I think from an environment perspective, not just Telkomsel but we also see our competition shifting towards data monetization to support a healthier industry. From a -- if you look at some of the initiatives that's been rolled out, whether it is from a winning share perspective of the increased pay loan, Telkomsel has not shifted towards data monetization, so we have already started applying fair usage obviously not just in Telkomsel, but it's also welcoming that our competition has already pulled back to unlimited in order to drive a more sustained business model. So from a package perspective, we look at driving more customized packages especially to our existing customers to drive relevant packages that have been [indiscernible] for their need. So we monitor very closely to avoid price war and to have a sustainable business model moving forward. And what we want to drive together is the focus on a healthy ARPU market repair for a positive industry growth. So that's where the competition is gearing.
Heri Supriadi: Thank you. On the EBITDA margin level, basically, we know the pressure of the inflation. We did kind of, I think, exercise to see what is the impact on our [business] from the revenue side and then from the cost side. In the revenue side, there may be some -- can be a potential weaker, I think, demand on this because I think priority of spend coming from customer. But we visit from the study that we did in order to see the impact on this one from [indiscernible]  Situation that we are facing with regarding this, I think, [fuel] or oil increase and better on make the impression. We see the -- basically, the impact to telco with, I think, margin what we can see from the revenue is very small. And then in the cost side,  there are some costs that may be impacted on this one. Cost to the operation and maintenance because of this [indiscernible] and also the potential it is [indiscernible] the way we recognize that one, the investment costs on the [indiscernible] base salary for our employees will be impacted as well. But it is maybe going to be adjusted next year based on the current year inflation. We already did some analysis on fund. We see [indiscernible]  the impact is quite small because, I think, telco services, digital services becoming kind of, I think, one of [ passiveness ] for the [indiscernible] . So even we do expect by having this impression because this reduced labeling and so on using more communication by basically data and voice and so on. This makes us a bit, I think, confident and the ability of the margin that we can achieve. I think that overall, the question we can explain to you, we did [indiscernible] on this one, we expect that we can say the cost and the revenue side and back to the margin that can be stabilized as well. Par Budi, can you explain on the data center consolidation? It seems like we need 3 years for consolidate of the asset. You can give the explanation.
Budi Wijaya: I think consolidation of the asset is running. We -- right now, what we are doing is just on a later term on [indiscernible]  management of [indiscernible]  -- managing of it. The asset itself right now partially already will be taken over by the new vehicle and from Sigma to [indiscernible]. And right now, all the marketing people and operational things have already been doing the new [indiscernible].
Heri Supriadi: So basically, what we can say, the consolidation is ongoing very smoothly or the data center that are already becoming asset. For the new data center is definitely going to be done all investment by STS. So there's no people going to take perhaps 3 years. It has already been managed well by STS right now. So we are just completing the process of this transfer one.
Ririek Adriansyah: [indiscernible] the 2, 3 years, as including the completion of the -- bringing the new one until the ultimate capacity of the -- from the STS. But if we look at only the cost itself, it should be [indiscernible]  And partnerships would be completed within this year.
Heri Supriadi: Thank you for additional explanation on this one. I think I basically, we're going to set up all the consolidation this year. And maybe additional thing about [indiscernible] whether we're going to IPO, maybe you can add some more of the exit strategy.
Ririek Adriansyah: Well, the aiming for the IPO is -- or even we can begin attracting the investor is scheduled to be in the first quarter or second quarter of 2023. I think that's our aiming.
Heri Supriadi: Yes. That's basically, but this is not necessarily an IPO but having the strategic partner, so we can calibrate the valuation of the business can be also another way of, I think, exit strategy and value creation.
Choong Chen Foong: Can I just quickly follow up on the recent MOU signed with Singtel on the data center business? So with regards to the MoU and, as you were saying, the consolidation of the assets into STS and potentially listing in first quarter, second quarter next year, so how does that MOU sort of play into this Telkom's plan for unlocking of value?
Ririek Adriansyah: Well, the MoU is [indiscernible] is we plan to set up kind of a regional GP for data center between Telkom and Singtel. And then inside that will contribute whether is it the new data center that's currently being built or even more than that one. And the JV can be -- it's not going to be only Singtel and Telkom, but we can also invite other strategic partners, global partner that later on can be joining the new JV we will be setting up.
Choong Chen Foong: Okay. So -- but that means that the Hyperscale Data Centers and all that will continue to remain owned by Telkom. It would not be part of this collaboration with Singtel. Am I right?
Ririek Adriansyah: Well, the data center in Indonesia, anything that Indonesia can be partly owned by the JV, but majority will still be Telkom -- owned by Telkom. And in Singapore side, Singtel will hold the majority, but the minority can go to the data center -- to the company.
Operator: Our next question comes from Kresna Hutabarat at Mandiri Securities.
Kresna Hutabarat: Congratulations again on the strong earnings growth in 2021 and also the successful corporate restructuring initiatives as well as the digital investments to date. My first question, only have one question actually related to 5G CapEx. So the guidance on CapEx to revenue to be 25%, that should imply a total CapEx of over IDR 35 trillion in 2022. My question is, how much of that would be associated to 5G network investments? And should we expect CapEx upside if the government will kick off some auction in the next 12 to 24 months? And how would management finance that CapEx growth going forward?
Heri Supriadi: Okay. Thank you very much for your question. On the CapEx, revenue from [indiscernible], it is about 12% to 14% of the revenue. And it also already include the investment in the past year. However, on the 5G services, we will probably execute it in the stages and also based on the business capability as well as economic market commissions. Most of our investment on this year still applied for the 4G deployment and strengthening our market -- our productivity as well as the capacity within the coverage that we have in Java and also exclude Java. I hope I answered the question.
Kresna Hutabarat: Do we have any visibility whether there's going to be any spectrum auction related to 5G in the next, let's say, 6 to 12 months? Is it something that Telkomsel is talking with the regulators or should we rule out the possibility for now?
Heri Supriadi: So could you repeat the question because it is not clear?
Ririek Adriansyah: The question was the possibility about spectrum auction.
Heri Supriadi: Okay. On the spectrum, actually the government already have the plan, firstly, on the 700 megahertz. But again, we expect that the government will announce the process in that as well. We will prepare the necessary requirement to bid if there is already invitation from the government.  The spectrum is expected to strengthen our services to the customers.
Operator: Our next question comes from Niko Margaronis at BRI Danareksa.
Niko Margaronis: Congratulation on the good results. I just want to ask about Telkomsel down the line with these divestments, increase in financial leases. What is the profitability going forward for -- on the Telkomsel standalone? Yes, what do you see EBITDA margin going in the next 1 to 2 years? Yes, that's my first question. Yes.
Heri Supriadi: Thank you, Niko, on the question. Actually, on the margin side, we do expect there is some competition looking forward. But we still believe that we can manage on the high 50% of EBITDA margin by also doing some cost transformation within our operation, especially in the O&M as well as in the other area.
Niko Margaronis: Maybe my second question is about following up from question from a colleague earlier. The -- 2025, it was mentioned that you expect to estimate about IDR 14 trillion top line. This is with what kind of margins you see developing by then? Yes. And maybe on the data centers, I mean, why you think is necessary to have foreign investors co-investing together in this side of the business? I understand the Singtel cooperation on the fixed mobile convergence, but why is it necessary to -- for other investors to join in data center business in Indonesia?
Unknown Executive: I think on the -- first, on the data center margin, it is supposed to be based on the international benchmark that we see, is around 35% to 40%, deciding our direction to a similar [indiscernible] on this one. Why it is necessary to have foreign co-investing partner in the data center? Basically, like when we talk about data center, there's some very distinguished players in the world. They are having a technology. They have also a network in terms of the customer base. And they also think can bring many synergies to this one. I think that also can refresh our position in terms of our competitive advantage in Indonesia and also bring more potential in the future. So basically, like a puzzle, we see it as some puzzle that they can bring to us in keeping the value added to this business. When we see also the data center like Hyperscale Data Center, most of the users is also a hypertech company that's using the data center. To have paying them as a part of the partner going to also think the business I think having kind of a strategic position compared to our competitors. Of course, there's not necessarily kind of exclusive partnership, but I think that's kind of a use of the data center itself that we can consider as a partner. But we'll be [indiscernible] I think that's I think explanation why we need this one.
Niko Margaronis: Yes, yes. Yes, Par Heri, maybe you have updates on your -- I think last year, you mentioned about exploring a partnership with Microsoft. Do you have an update on this? And in what areas you think there is room for this partnership to grow with Microsoft, yes, on the data centers. I think is in relation with data centers, yes, or cloud services, I'm not sure.
Heri Supriadi: Okay. Thank you, Pak Niko. I think if Pak Edi or Pak Budi don't mind to answer that question.
Unknown Executive: Well, the cooperation with Microsoft is an ongoing for a couple of things. One is on the data center side, so whether Microsoft will be using our data center or we can also providing or something like this. And then the second one is on the cloud business. And then the third one is also providing the other solution a data solution for the Indonesian market. I think it is ongoing. And in fact, we are meeting with -- the 2 team has a very intensive meeting. And at some point, we'll openly announce that one.
Niko Margaronis: Okay. Okay. Thank you, Pak Ririek. If I may squeeze one question on the IndiHome and this potential fixed mobile convergence. Definitely, I expect some ARPU pressure if you should produce double play or triple play. Is this something that you expect also, yes, for -- yes. And I noticed also that in IndiHome in the fourth quarter, ARPU also kind of slowed down. Is this going to pick up again moving into 2022 -- as we are in 2022? That would be my last question.
Heri Supriadi: I think on the ARPU, right now we have around -- last year 270,000 in terms of ARPU. Most of this ARPU are basically coming from the subscriber add-on. I think [indiscernible] anything higher bit of, I think, broadband that they are, let's say, [indiscernible] from us. So then regarding our strategy, as we mentioned to you, we try to basically increase the quality of the experience and so on. And this year, we try to speed up again the acquisition of the customer base in the second half, as I mentioned, that I believe going to give stability in the ARPU and also the performance of IndiHome. I think that -- but  itself, if you see, it is going to be a bit both for mobile or fixed broadband customers. I think most of the -- one of the benefits coming from whenever we see from the Pareto, the subscriber base of Telkomsel. -- high-value customer that we need to maintain them. We give more experience, a better experience. This can also increase, I think, ARPU and stickiness on them -- from them in the long run. We believe in addition to this, of course, our customers are going to be willing to pay whenever we provide better service.
Ririek Adriansyah: Probably just a small additional, Pak Niko, on the ARPU, yes, our ARPU is important, and we try to maintain the ARPU level that we have. But at the end of the day, what really matters is the total revenue we can get, meaning that the ARPU can be slightly decline. But on the other side, we can add more customer, more revenue to the company is also something that we're really happy to see it.
Heri Supriadi: Yes. Thank you, that I think the [indiscernible] explanation, but we also need to see the growth of the company overall. Thank you, Pak Ririek, for the explanation.
Operator: Our final question comes from Piyush at HSBC.
Piyush Choudhary: One of your -- part of the strategy was to enhance Telkomsigma B2B IT service. So just a question on that. Are you looking to strengthen it organically or even evaluating inorganic options? And what kind of products or services are you looking to bolt on to strengthen the Telkomsigma Services?
Ririek Adriansyah: Obviously, what we plan to have -- to do is both. We strengthen organically and organically by -- we can be like cooperation with the other company or even acquiring a new company to strengthen that one. And as what we are looking is that to strengthen the ability of Sigma to provide the solution to the market. I think that is the plan.
Operator: Thank you so much. That was our final question. So Andi, I'll hand it back to you. Thank you.
Andi Setiawan: Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed yet. And should you have any further questions, please don't hesitate to contact us directly. Thank you, everyone. .
Unknown Executive: Thank you.
Operator: Thank you. This does conclude today's conference call. Thank you all for joining. You may now disconnect.